Operator: Good morning ladies and gentlemen and thank you for waiting. At this time, we would like to welcome everyone to Adecoagro’s Third Quarter 2021 Results Conference Call. Today with us, we have Mr. Mariano Bosch, CEO and Mr. Charlie Boero Hughes, CFO. We would like to inform you that this event is being recorded. [Operator Instructions] Before proceeding, let me mention that forward-looking statements are based on the beliefs and assumptions of Adecoagro’s management and on information currently available to the company. They involve risks, uncertainties and assumptions because they relate to future events and therefore, depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect the future results of Adecoagro and could cause results to differ materially from those expressed in such forward-looking statements. Now, I will turn the conference over to Mr. Mariano Bosch, CEO. Mr. Bosch, you may begin your conference.
Mariano Bosch: Good morning and thank you for joining Adecoagro’s 2021 third quarter results conference. 2021 marked a 10-year anniversary of Adecoagro's IPO. In the last 10 years, our adjusted EBITDA grew from $100 million to roughly $400 million. And our cash generation became structurally positive. Since the IPO, we expanded our businesses and conducted investments that allow us to vertically integrate our operations, improve efficiencies and enhance our competitive advantages. We have also became a source of carbon credit and a reference in the sustainable production of food and renewable energy. Adecoagro is now a more matured company with a healthy capital structure and the capacity to commit to a systemic distribution policy. As we mentioned in the past, during 2021, we are distributing cash to our shareholders via our share repurchase program. So far, we have already repurchased over 6 million shares equivalent to more than 5% of the equity of the company. Starting in 2022, we will distribute annually, at least 40% of the adjusted free cash from operations generated during the previous year distribution will consist of a dividend of at least $30 million per year, which will be paid in May and November. At the same time, we will continue to repurchase shares under our products, as we see appropriate until reaching the distribution target. On top of our distribution policy, we continue to see attractive growth opportunities that synergize well with our current operations, have potential to make them more efficient and sustainable and offer very attractive returns. And all these will never compromise our solid their profit. Now, in relation to the performance of our businesses, consolidated adjusted EBITDA marked a new record high for the first 9 months of the year, and an increase of over 50% compared to last year. In our sugar, ethanol and energy business, crushing volumes during the quarter was only 200,000 tons lower than last year, despite the impact of the frost. This was possible because we accelerated harvesting activities, increased harvested area and were able to purchase some cane form third parties. As we were expecting lower production was more than offset by the higher prices that we captured in sugar, ethanol and electricity. We continue to see contracted price scenario in the following quarters due to the impact in supply and to the early finish of the harvest season for most of the mills. We are in a great position to continue to benefit from this price scenario as we have been hitting the low end of our commercial policy. We have invested in our on-site storage capacity, which enables us to carry over 155,000 cubic meters of ethanol and a 165,000 tons of sugar. We have recently increased our capacity to produce and hydrous ethanol, which traded at $0.24 per pound in October, marking a 10-year high. We have the necessary flexibility to switch from producing sugar to ethanol. In fact, we are currently producing 100% ethanol to benefit from higher relative prices. We continue to actively participate in the RenovaBio program through the sale of more than $2 million of savings during the quarter. As part of our efforts to continue increasing the sustainability of our operations and improve our RenovaBio score, we will soon start testing the use of biomethane in 13 vehicles. We are very excited about the development of this technology and see a great potential for it. Moving on to our rice business, we achieved strong results during the first 9 months of the year, including a record high yield of 7.8 tons per hectare in average. This was possible, thanks to the investment we made across the business, but especially to the innovative approach of our team who bought a special focus on productivity, grain quality and efficiency through the value chain. As we improve our approach and ethics, and offer customized products that perform well at the farm and the industry level, we continue to develop new markets and increase our mix of higher value added products. We are proud of the work we are doing in this segment of our team and of our use of technology to develop a sustainable production system that is generating great results. Going to the crop business, we completed harvesting activities for 2020, '21 harvest year, totaling 700,000 tons of grains. We achieved good yields, although it was a [indiscernible] year. This was thanks to our geographic product diversification, which is one of our competitive advantages and allow us to extend the planting and harvesting window and thanks to that work of our team and the use of technology. Productivity indicators were more than compensated by the high average prices. At the present time, all of our teams are fully focused on the planting activities for the 2021, '22 harvest year. So far, we are planting crops and rice at an excellent base under good soil and weather conditions. Now we are entering into the period where most of the physical yields are defined. In our daily operations, we continue to achieve high productivity indicators and transform raw milk into value added products, demanded both in the domestic and export markets. As every year, Cushman & Wakefield conducted an independent appraisal of our land portfolio and valued it 2.4% above last year. To conclude, I would like to express my gratitude to our shareholders for their continued support. I also want to thank our operation and management teams for the hard work and the effort they did throughout all these years. I am convinced that we have the right team and that we are following the right strategy to continue to generate attractive and sustainable margins for all of our shareholders. Now, I will let Charlie walk you through the numbers of the quarter.
Charlie Boero Hughes: Thank you, Mariano. Good morning, everyone. Let's start on Page 4 with a brief analysis on the rains in Mato Grosso do Sul. As seen on the top charts range in our [indiscernible] third quarter of 2021, we are lower than during the same period last year and the 10-year average. However, increased precipitations during April were very favorable for the recovery of sugarcane yields. Before turning to the following slide, I would like to briefly comment on the cold front that hit most Brazil's key productive area at the beginning of the quarter. As you know, low temperatures at the end of June and July caused severe frost damage on sugarcane plantations in regions including South Paulo and Parana states, as well as Mato Grosso do Sul and Minas Gerais. This caused a negative impact in yields, which were already affected by the dry weather observed through all the year in the center, south region of Brazil. In light of this, market estimates of Brazil shirking supply were cut in as much as 15% by some analysts. While expectations at the beginning of the year pointed at a crushing volume of 590 million tons of sugarcane. Current expectations range between 520 million and 510 million tons. The pressure on the supply side translated into higher prices for all three products. This made the price scenario even more constructive than it already was. As we'll see in the following slides, we were in an excellent position to capture this upside because of our strategy to hedge at the low end of our commercial policy. In fact, for the 2022 and '23 campaign, we still have over 90% of TRS unhedged. Please jump to Page 5, where I would like to walk you through our agriculture productivity. During the third quarter of 2021, sugarcane yields marked a 27.2% reduction compared to the same period of last year, reaching 59 tons per hectare. TRS content, in turn, presented at 6.9% reduction and total 132 kilograms per ton. The lower-than-expected agriculture productivity indicators were fully explained by the adverse weather conditions, as most of the harvested area was came below optimal growth stage. It is worth mentioning that accelerating harvesting pace is very important to avoid the frost from causing additional damage on the cane. The combined effect in yields and TRS content resulted in a TRS production per hectare of 7.8 tons during the quarter resulting in a 32.2% reduction year-over-year. On a 9 month basis, the year-over-year reduction of 11.7% in sugarcane yields, and 12.5% in TRS per hectare, is fully explained by the third quarter dynamics. Going forward, it is expected that productivity will return to normal levels as sugarcane continues to recover favored by increased precipitation during October. Now let's continue with Slide 6, where we'd like to discuss our sugarcane crushing strategy. Because we have in place an integrated business, our crushing volume during the third quarter of 2021 was only 200,000 tons lower year-over-year, despite lower-than-expected agricultural productivity indicators. This achievement was possible because we harvested 28.2% more area than during the same period of last year, and increased the amount of gain purchased from third parties in 15.5%. In addition to this, our team responded quickly and leased third-party harvesters in order to accelerate harvesting activities to minimize the weather impact. By doing so, we achieved a crushing volume of 4.1 million tons during the quarter, only 5.2% lower year-over-year. As of September the 30, crushing volume reached 9.7 million tons, 11.1 million tons or 13% higher year-over-year. This increase was explained by the good Kane availability, an early start of crushing activities during the first quarter of the year as opposed to last year, and by the favorable weather during the second quarter of 2021. Let's move ahead to Slide 7, where I would like to discuss our production mix. As you can see in the top left chart during the third quarter of 2021,hydrous and anhydrous ethanol Mato Grosso do Sul traded at an average price of 19.2 and 21.2 cents per pound sugar equivalent, representing a 2.8% and 13.2% premium to sugar respectively. It is worth pointing out that the evolution of sugar prices during the quarter was also very positive. In line with our strategy to maximize production of the product with the highest marginal contribution, during the quarter we diverted 55% of TRS to ethanol not to profit from higher relative prices. To further take advantage of price premiums, 63% of total ethanol production was anhydrous ethanol compared to 41% during the third quarter of 2020. This increase in anhydrous ethanol production was possible thanks to the recent incorporation of our molecular sieve in Ivinhema which increased our dehydration capacity in 50%. Total production of both ethanol and sugar was 11.2% and 7.3% lower compared to the third quarter of 2020, respectively. As previously mentioned, this was explained by the lower production of TRS, but it was more than offset by an increase in prices. As Brazil is one of the world's main producers and exporters of sugar, any weather event that might impact supply will result in an increase in prices. Our low hedging volumes enabled us to capture the benefit that this natural hedge offered. On a year-to-date basis, production mix was in line with the first 9 months of 2020, standing at 58% ethanol and 42% sugar. Volumes produced were 14.4% and 13.6% higher, respectively, favored by a strong production in the first 6 months of the year. In 2021, we maximized sugar production in the first quarter to benefit from higher relative prices and switched to ethanol during the second and third quarter. The opposite was observed in 2020 when we maximized ethanol during the first quarter, then switched to sugar as ethanol prices plummeted in light of the pandemic, and went back to maximizing ethanol in the third quarter. This high degree in flexibility constitutes one of our most important competitive advantages, since it allows us to make a more efficient use of our fixed assets and profit from higher relative prices. Year-to-date, ethanol accounted for 61.7% of total adjusted EBITDA generation in sugar ethanol and energy business considering other operating income, while sugar accounted for 30.2%. Please turn to Slide 8, where I would like to comment on our energy production strategy. As you know, Brazil's energy matrix is heavily reliant on hydroelectric energy. Due to the prolonged period of dry weather in the center south region of Brazil, the level of water in the reservoirs was low. As can be seen in the top right chart, this resulted in a hike in spot prices, which increased from BRL92 per megawatt hour last year, to BRL582 per megawatt in the third quarter of 2021. To profit from this situation, we increased our energy production by burning bagasse, both owned as well as purchase from third parties, wood chips purchased from third parties and sugarcane straw collected from the field. Exported energy during the quarter totaled 263,000 megawatt hour, 4% higher compared to the same period of 2020, while our Cogen efficiency ratio was 9.6% higher. Let's please turn to Slide 9, where I would like to discuss quarterly sales. As you can see on the right chart, net ethanol sales during the third quarter of 2021 amounted to 83.4 million, 121.7% higher year-over-year. This was mostly explained by an increase in average selling prices measured both in real as well as U.S dollars, resulting in a 70.8% increase mostly led by anhydrous ethanol. Despite a lower production of ethanol during the quarter, and an aggressive carryover strategy to benefit from higher expected prices, ethanol sales volume presented a 15% increase compared to the third quarter of 2020. This was fully explained by the lockdown measures adopted in 2020 in response to the COVID-19, which negatively affected demand for fuels resulting in a decrease in sales and our stock build up. On a year-to-date basis, ethanol sales were 69.6% higher than during the first 9 months of 2020. This was explained by a 49.3% increase in average selling prices and 13.6% increase in selling volumes. A brief comment on CBios. During the quarter, we sold 255.8000 CBios under the RenovaBio program at an average price of BRL46 per CBio, approximately $8.7 per CBio. Year-to-date, we sold 367.9000 CBios at BRL41.6 per CBio, approximately $7.8 per CBio. In the case of energy, selling volumes during the quarter reached 319,000 megawatt hour, marking a 2.6% year-over-year increase; average selling prices were higher both measured in real as well in U.S dollars, standing at $58.9 per megawatt hour, implying a 64% increase compared to the same period of last year. As mentioned before, this was driven by the low levels of water reservoirs, which reduced the supply of hydroelectric energy. All in all, net sales of energy in the third quarter of 2021 were 18.8 million, 68.3% higher year-over-year. On a 9 month basis, net sales of energy were 37.7% higher year-over-year as a consequence of the increase in selling volume and average selling prices. Net sales of sugar during the third quarter of 2021 reached 46.6 million , 27.2% lower year-over-year. This decrease was driven by a 50.7% decrease in selling volumes, partially offset by a 52.1% increase in average prices, which reached $0.172 per pound. There are two points worth highlighting. During the third quarter of 2020, we increased the volume of sugar sold as the market for ethanol was fairly illiquid, and prices were low due to the pandemic and due to our commercial strategy to carry over stocks in order to profit from high expected prices. Stocks of sugar in the current quarter almost doubled compared to last year. On a 9 month basis, sugar sales reached 143.3 million led by a 48.7% increase in average selling prices which fully offset the 2.4% decrease in selling volume. Finally, to conclude with the sugar ethanol and energy business, please turn to Slide 10, where I would like to discuss financial performance. Adjusted EBITDA during the third quarter of 2021 was 138.1 million, 51.7 million or 59.8% higher compared to the same period of last year. The main driver behind EBITDA growth was the 36 million increase in net sales coupled with a 20 million year-over-year gain in the mark-to-market of our harvested cane, led by an increase in Consecana prices of 67%. The increase in adjusted EBITDA was partially offset by a 25.2 million increase in cost, mainly explained by the increase in harvested area to make up for the lower productivity of the cane, which resulted in higher salaries, higher use of diesel and higher maintenance costs, among others as well as by the higher purchase volume of third-party cane, bagasse and wood chip, among others. Year-to-date, adjusted EBITDA stood at 269.8 million, 56.2% or 97.1 million higher than during the same period of last year. Higher results were explained by 60% increase in net sales coupled with a 39.7 million gain derived from the mark-to-market of our sugar cane, mostly related to harvested cane. This was partially offset by an increase in cost combined with a 23.7 million loss in our commodity hedge position and 8.8 million increase in selling expenses in line with the increase in sales. End of period stocks amounted to over a $135.1 million, marking a year-over-year increase of 2.3x, led by our commercial strategy to carry stocks in order to benefit from higher expected prices. I would now like to move on to the Farming business. Please direct your attention to Slide 12. As of the end of October 2021, we harvested over 260,000 hectares successfully completing the 2020 and '21 harvest season. This amounts to over 1 million tons of agricultural products harvested and transported across 10 provinces in Argentina and in Uruguay. We are currently engaged in planting activities for the 2021 and '22 harvest season, so far observing normal weather conditions. We expect to plant 282,880 hectares, 7.9% higher than the previous harvest season. Let's move to Page 13, where I would like to walk you through the financial performance of our Farming and Land Transformation Businesses. Adjusted EBITDA in the Farming and Land Transformation businesses reached $24.8 million in the third quarter of 2021 and $113.4 million in the first 9 month of the year. This marked a year-over-year increase of 19.9% and 32.6%, respectively. Solely focusing on the Farming business, results stood at $23.9 million during the quarter and $107 million on a 9 month basis, marking a year-over-year increase of 30.6% and 55.7%, respectively. Adjusted EBITDA in our Crops segment was $13.7 million during the quarter, $7.9 million higher compared to the same period of last year. This was explained by an increase in average selling prices $127 per ton increase in the case of soybean and $71 per ton in the case of corn, coupled with a year-over-year gain in the mark-to-market of our biological asset on the account of an increase in hectares, yield and prices. This was partially offset by an increase in costs driven by inflation in U.S dollars terms. Year-to-date, adjusted EBITDA amounted to $47.9 million, 89.5% higher compared to the same period last year. The improved performance was also mostly explained by a year-over-year gain in the mark-to-market of our biological asset on account of an increasing prices. End of period stocks were 2.3x higher than last year, amounting to over $15 million mainly as a consequence of commercial strategy to carry stocks in order to benefit from higher prices. In the case of rice, most of the margin was already captured during the first quarter of the year. In this line, adjusted EBITDA reached $2.8 million during the third quarter, marking a year-over-year loss of 54.3%. However, during the 9 month period adjusted EBITDA stood at $40.7 million, 37.9% higher year-over-year. The positive financial performance was mostly explained by an increase in yields, which reached a record high of 7.8 tons per hectare and increasing area and an increase in prices which led to a year-over-year gain in the value of our biological asset and agricultural produce. These results were possible due to our continuous focus on productivity, enhanced efficiencies and the consolidation of our team. The Dairy business generating an adjusted EBITDA of $7.2 million during the third quarter of 2021 and $19.3 million during the first 9 months, an increase of 13.5% and 32.6% compared to the same period of last year, respectively. In both cases, higher results were explained by an increase in gross sales and achieved efficiencies in our vertically integrated operations, including high productivity at the farm level, and the flexibility of our industrial assets. In the case of Land Transformation, a minor gain was registered in the current year compared to a $16.3 million result in 2020, which reflects the sale of [indiscernible] of our [indiscernible] farm. Let's now turn to Page 15, which shows the evolution of the Adecoagro's consolidated operational and financial performance. On a year-to-date basis, gross sales reached $777 million and adjusted EBITDA $368 million, marking a year-over-year increase of 33.9% and 50.4%, respectively. During the quarter, gross sales reached $317 million, while adjusted EBITDA totaled $157 million marking up 33.2% and 53.7% increase compared to the same period of last year. From an operational point of view, we continue increasing our planted area both in our Farming and sugar, ethanol and energy business. This in line with our enhanced efficiencies on the farm and industry level has led to an 8.2% increase in our production of crops and rice, and a 13% increase in crushed volume as previously mentioned. To conclude, please turn to Slide 16 to take a look at our net debt position. As you may see in the bottom left chart, our net debt as of September 30, 2021 reached $725 million, $19.4 million or 2.6% lower than the previous quarter. This was explained by the combined effect of a 1.6% reduction in gross debt and that 2.5% increase in our cash position, even though marketable inventories in the third quarter of 2021 were $66 million higher compared to the previous quarter. The increase in cash position was a consequence of a greater collections, lower working capital requirements since in the second semester of the year, planting and harvesting costs have already been incurred, and we start selling and collecting income from most of our products. On a year-over-year basis, net debt increased by 1.9% compared to the same period of last year. The 1.1% reduction in gross debt was fully offset by an 11.2% decrease in our cash position. This reduction in our cash position was mostly explained by an increase in marketable inventories of $124 million compared to the same period of last year. We believe that our balance sheet is in a healthy position not only based on the adequate over the debt levels, but also on the term of our indebtedness, most of which is long-term debt. As of September 30, 2021, our net debt ratio reached 1.56x. As can be seen, we continue the downward trend compared to both the previous quarter of 2021 and the same period of last year, marking a reduction of 14.1% and 31.9%, respectively. At the same time, our liquidity ratio which is calculated as cash and equivalents plus marketable inventories divided by short-term debt reached 2x, 8.9% above last quarter's ratio of 1.84x and 33.8% higher than the same period of last year, which reached 1.49x. This clearly shows the full capacity of the company to repay short-term debt with cash balance without raising stronger capital.  Thank you very much for your time. We are now open to questions.
Operator: [Operator Instructions] Today's first question comes from Guilherme Palhares with Bank of America. Please go ahead.
Guilherme Palhares: Good morning, everyone. Thank you for taking my question. I have two actually. The first one being on the sugar and ethanol business. Looking at the huge [indiscernible] you guys had this year and looking for the next crop season, what we could expect in terms of recovery of TRS of cane? And the second one is related to the fertilizers and the market price that we are seeing. And if you could explain a bit what will be paying that for your organization? And what is the exposure that you have in the Farming business? Should these prices would be very important for us. If you could give more details on that front. Thank you.
Mariano Bosch: Hi, Guilherme, good morning. Thank you very much for your question. I want to take the second part of the question, and then I'm going to ask Renato delve more into the details on the sugar and ethanol business and what can we expect for the future. So regarding our fertilizer position for this year, we are pretty well covered. We anticipated our buying soft [ph] fertilizers. So we are in a very good position in the medium or short-term. And for the longer term, of course, there has been an increase overall for [indiscernible] in general. And we will -- that will have an impact in the total cost that applies to the 15% of the total costs. This 15% includes fertilizer and agriculture approach that both are increasing in terms of dollar prices. So that is what we need to take into account. And for next year that is not the season, so the season that we are planting is already covered. So therefore the following season we will need to adjust the leasing costs etcetera, etcetera to try to compensate this increase on the fertilizer costs. That is one part of the equation and the other part is that this also gives us an opportunity to be even more efficient in the transformation of the vinasse and the transformation of the [indiscernible] into organic fertilizer. So this transformation of organic fertilizer is being very profitable and we are increasing and we have our growth opportunity there to continue to increase the value of our devices because of this reason in chemical fertilizer. That makes us also more sustainable that the sustainability and the increase in the [indiscernible] generation of carbon credits through the transformation of this manure into a biological fertilizer is also allowing us to capture more benefits through the face of more CBios or carbon credits. And so we see all these as an opportunity also. Regarding the first part of your question of the sugar and ethanol yields and what we can expect there. I would like Renato to get more into those details. Renato? I think we don't have Renato in the line. So I'm going to go through it. The sugarcane yields, of course have been affected by the frost as we have explained in our previous calls. This frost affected this quarter yields. From now on yields are starting to improve or will start to improve because we are now going to be harvesting or today we are harvesting cane that has been less affected by these frost. And for next year, that was your question, we can expect lower than the average because of the first half of the year. But in the second half of the year, we will -- we can expect even better because after referrals we are receiving during October excellent rains, so the sugarcane plantation is now looking pretty well. And so for the second semester, we can expect even higher than average, as we can see developing today. So we now reach for next year, we will expect lower on the first half and higher in the second half. That's basically a quick summary.
Guilherme Palhares: Now that's very clear. Just one additional question, if I may, in terms of the dividend policy that the company disclosed this quarter, which is a milestone for the company that I understand. If you could just walk us through the rationale of choosing this 40% threshold and the metric looking at the free cash flow. And what we could expect that the impact of that policy in terms of the investments ahead of the company would like to perform going forward.
Mariano Bosch: Sorry, Guilherme, I'm not sure I understood exactly the question, but with this policy as we explained that the regaining, we are committing that 40% of the free cash flow generated from operation is what is going to be distributed to the shareholders, then the rest continues to be for these growth projects that we are seeing very attractive in the different businesses that we currently have.
Guilherme Palhares: Sure. That’s very clear. Thanks, Mariano.
Operator: And our next question today comes from Thiago Duarte with BTG. Please go ahead.
Thiago Duarte: Thank you. Good morning, everybody. Morning, Mariano, Charlie. Yes, I have two questions on the sugar, ethanol and energy business. The first one is, is similar to the previous one, but still focus on this ongoing prop. I think last quarter after the frost and knowing the impacts of the drought, you mentioned that you were expecting to crush for the full year around the same volumes that you crushed last year. So just wanted to check whether this assumption is still valid after the third quarter or not and what would be a reasonable cane volume for the year as per your expectations. The second question is a more specific one regarding you mentioned very briefly in the earnings release the biomethane project. And the investments that happened. Can you hear me?
Mariano Bosch: Yes, perfectly well.
Thiago Duarte: Okay. Sorry. So -- and the investments that you're making to develop that project. So can you -- you mentioned in the release that you are looking to eventually be able to fully replace the diesel that the company currently buys from the market? So just if you could, can you provide any more color on the size of the CapEx, the volumes that that the biomethane production capacity that you expect to be able to have in the future. Any color on these fronts would be much appreciated. Thank you.
Mariano Bosch: Good morning, Thiago. Thank you for your question. Very interesting. On the second -- on your second question on the biomethane project that we are very keen on that project and we are very enthusiastic of a technology that we've been developing now for the last 7 or 8 years. It is advancing every year, a little bit in the development of this project. And now we have this biodigester [ph] that we take them from the vinasse. And we are currently generating electricity through that biomethane. Now we are making an investment where we are transforming that biomethane into -- or concentrating it to put it into the vehicles. We have already transformed that in vehicles. And so this is our first step. We expect that during 2022, we are going to be using biomethane for these 13 vehicles. This is still under testing way. We are very enthusiastic, but we analyze the potential of the total vinasse that we are having, and that we could be transforming into the same thing that we are facing today, and that we are having an excellent performance. We could be able to replace almost 100% of all our diesel that is conceptually what the potential of these technologies are. On top of this, we have an agreement with a guy with whom we've been developing this that we could be even selling the technology for third parties. So that is [indiscernible] we are having, but it's still within a very developing technology. And that of course, we are very keen, but we are not projecting nothing specific as of today. Is it clear, Thiago?
Thiago Duarte: Yes, that's clear. But do you have any -- can you size up the project for us in terms of CapEx, just so we understand that the amount of investment that you expect to be deploying there, that would be nice, I got the rest.
Mariano Bosch: Yes, we still don't know the amount of the CapEx, that's why we are talking about the possibilities. The CapEx we will have to be pay [ph] in a very short period of time, as we've been seeing now on all these CapEx is that are within our existing businesses have very attractive returns, very short period of payback. So that would be the analysis once we have or we are pretty sure about the technology. So it will be communicated very clearly communicated if it's not the situation.
Thiago Duarte: Thank you.
Mariano Bosch: Then going to the other part of your question, Thiago, to regarding the total crushing of this year. In our last quarter, we mentioned that it was some way below last year because of the impact of the frost. Now that we were able to accelerate the harvest and the quarter was excellent in terms of all the actions that we're taking to accelerate the harvest and to harvest all these frosted cane and that performed even better than with what we were projecting because we were able to hire some additional working harvesters and some we accelerated was [indiscernible] bought at the end of the year or at the -- we anticipated all those moments as we're pretty well done. We can see that, we are going to be pretty near what we harvested last year, it's probably 1% or 2% below last year. We are currently harvesting. We will end up harvest by December. We are now harvesting with 100% ethanol. The difference between ethanol and sugar prices weigh in favor of ethanol. I know Charlie was explaining in the beginning, within the ethanol, the hydrous ethanol is said performing very, very good prices. So today we are doing 100% of ethanol in our current harvest.
Thiago Duarte: That's clear. Thank you, Mariano.
Mariano Bosch: Thank you, Thiago, for your question.
Operator: And our next question today comes from Christian Audi with Santander. Please go ahead.
Christian Audi: Thank you. Hi, Mariano and Charlie. First of all, congratulations on the great results. I would like to ask a question first on capital allocation, Mariano. Can you as we go through the different elements on the leverage front, as you showed very clearly in your presentation, you're very low net debt to EBITDA. What is the target that you plan to maintain that you're comfortable with going into next year? On the second, use of cash in terms of CapEx? Or can you just detail a bit more your expectations for CapEx for major products into next year? You already touched on this test element of biogas? Are you looking at any other products such as [indiscernible] or anything else that could result into higher CapEx than expected? And then in terms of dividends, versus share buybacks, congratulations on establishing a dividend policy? That's something that I think the market was looking for. And I know you were working very hard on it. So congratulations on getting it done. How do you think about the dividend versus share buyback decision? Is that purely a tax issue where you will pay the dividends? And then what's leftover you use for share buybacks? And then the second set of questions was more related to pricing. You already touched on your expectation for continually good ethanol and sugar pricing. Can you just elaborate a bit on that, particularly as it relates to sugar and how you're seeing the global deficit or surplus into next year place? Thank you.
Mariano Bosch: Hi, Christian. Thank you for your question. Regarding the first part of your question, similar to what I was explaining when we started the call, we feel that today we are in a very good position to implement this distribution policies. And our policy refers to at least 40% of the adjusted free cash flow from operations that has been generated in the previous year. And here I would like to point out for example, this year 2021, where we acquired 6 million shares that is over $50 million. And if we take a look at the net cash from operations generated in 2020, that was around $100 million. So in this particular year 2021 because of the projects that we performed, and because of our solid debt position, and because we are below 2x EBITDA and we feel very comfortable in that area that's always being on during the whole year below the 2x EBITDA is that we were able to use some way more than 50% of the net cash from operations for revival assuming the previous year. So that's why within our distribution policy we are assuming and understanding our capital allocation thinking. And the same way that we've been explaining in the last 3, 4, 5, 6 calls is always understanding this asset capital allocation system. So going, why, at least $30 million of dividend and the rest to complement through the buybacks. It includes many things, including this [indiscernible] features that can affect some of our investors or not. But this can, of course, vary from time to time. Finally, the last comment regarding the CapEx and the opportunities that we are seeing within these growth opportunities. I would say that all of them that we are looking at within the four business lines that we currently have, and [indiscernible] where we are seeing many different small projects like the biomethane that we just discussed, but that is probably something that we won't expect a huge CapEx during 2022. But we can see some small CapEx on the vinasse concentration with the safe prices of fertilizer. We’ve increasing the vinasse concentration and applying more effective -- more organic fertilizers is very, very profitable on top of that, that makes us more sustainable, that generates more CBios. So the payback of this type of investments are less than 2 years and returns of course, are very, very high. Same thing in different places of the sugar and ethanol chain, you will find many small investment there, and all of them we'll go through these criteria that I'm just explaining. When we look at the Argentina [indiscernible] part of the company, we see very attractive things in the rice business. Rice is doing very well. The performance of being able to develop a genetic of rice and that specific variety being sold to a specific client and we are maximizing prices through that way, is putting us in a very attractive procedure. And so again, in that sector, we also see some specific opportunities. But all of the opportunities that we are looking today are within the existing businesses and where we feel very, very comfortable returns that we can obtain in that specific case. Most of them are solving some bottlenecks in the whole chain of our investments that we are talking about.
Christian Audi: Great. And can you give us a sense as you analyze these opportunities, what levels of return via [indiscernible] you use as a threshold to in order to pursue them, please?
Mariano Bosch: Yes, of course. The threshold for the different business and how sustainability impact, there are many specific things. But in general, I would say that all -- most of the things that we are looking at are all of them above 20%, 25% IRR. There are some of them with 50% IRR. So the IRR that we are using are very attractive for us.
Christian Audi: Great, very helpful. And then if you could just comment on your outlook for sugar and ethanol prices, please?
Mariano Bosch: Yes, sure. As we've been anticipating, we are in a very constructive mood in terms of sugar and ethanol prices with the petroleum at $80 and the relations between importing and exporting in Brazil, hydrous, anhydrous ethanol at still a very [indiscernible] scenario especially when we talk on the anhydrous scenario. That's why you saw that at the end of this quarter we were full of inventories and same thing for the sugar prices. We were anticipating this frost effect that we were talking in our previous goal that we have in the market talking too much about these previous effects. And I think it was clear that the effect was there and the increase in prices came. And for the next year until the second half of the next year, we also see the scenario very constructive in both sugar and ethanol prices.
Christian Audi: Great. Thank you very much.
Operator: And ladies and gentlemen, the next question comes from … [Operator Instructions] A lot something for the say, a show on ethanol. Scenario.
Mariano Bosch: Renato, do you want to add something to this sugar and ethanol scenario?
Renato Junqueira-Santos Pereira: Yes, can you hear me or not?
Mariano Bosch: Yes, perfectly well.
Renato Junqueira-Santos Pereira: Yes, just to add that we don't think that the Brazilian crop, you’ve an important recover next year, because of the reduction of the 18 months planting, because of the dry weather that impacted that type of planting. Also, the frost, and the fire that we were mentioning before, will impact the first half of next year in Brazil, the supply of TRS for the first half of the year. And also the probability there is going to be a reduction in the sugarcane area of about 3% of next year. So the Brazilian crop is not going to recover a lot. There are some recovery in some countries like India, and Thailand, but in a lower proportion, then what Brazil is supposed to reduce. So we think that the [indiscernible] in the world is around 3 million tons of sugar. And we think that the scenario for next year is going to be -- the [indiscernible] next year is going to be very, very good as we were discussing here. If the oil prices remain at the current levels, and the auto cycle is increasing, we think that there's going to be, I would say, a healthy fight from sugar and ethanol for the TRS of the cane. So probably the mix can be impacted and these debts can be even higher.
Operator: Thank you. Ladies and gentlemen, our next question comes from Lucas Ferreira with JPMorgan. Please go ahead. Lucas your line is open.
Lucas Ferreira: Yes, so good morning, everybody. Thanks for the opportunity to ask questions and congrats on the distribution policy. I just wanted to make a follow-up question on this Mariano and Charlie. I think the only maybe missing link on the policy is exactly like what's the limit? What's your leverage limit you expect? So we have a normally some visibility on the minimum payments. But what could be like a potential payments that given your CapEx [indiscernible] CapEx plan? And what is the limit of leverage you want to maintain? So since your leverage is quite low, apparently there's no major topics in the pipeline, can we -- can you share what's the leverage? Maybe not that to [indiscernible] want to keep, so we have also a visibility on what could be the actual payment to shareholders? That's the first question. The second question maybe to Renato. Renato, just see you're carrying a lot of inventories for the coming quarter, especially sugar. If you want to talk about your commercialization strategy for the coming quarter. You see -- do you see the market short of ethanol? Do you see companies importing ethanol in the first quarter? All these see the inventory balance there? And could you just explain you why [indiscernible] carry so much sugar at inventories for the coming quarters? Yes, that's it. Thanks all for the opportunity. Thanks.
Mariano Bosch: Hi, Lucas. Thank you for your question. Regarding the distribution policy, I think that's pretty much in line with what we've been saying. This area of below 2x EBITDA that leverage and it's an area where we feel very comfortable. We think that we feel are in a company that they say generating very good results and sustainable gas. But we want to maintain our leverage of that very -- in a [indiscernible] way we are in Latin America. We all know Latin America. So we want to maintain ourselves in a safe area in terms of the amount of net debt that we would like to have. So the most of what we've been saying today regarding our distribution policy has already been said and this 40% of the net cash from operations is a minimum to which we are committing ourselves. And we don't want to have exceed of -- excess of cash in the company, nothing like that. You can see what we've learned during this current year. And so I think we will be continued in the same lines of what of how we've been managing the company in the --- in all these years. So that's regarding the distribution policy. And regarding your questions on [indiscernible], I would like to have Renato answer precisely.
Renato Junqueira-Santos Pereira: Hi, Lucas. We also remain very optimistic about the shorter, I think the Brazilian crop this year is going to be something close to 520 million tons much below than everybody was expecting. So the supply of [indiscernible] is much lower than previously thought. The oil prices and they also cyclists given support for price of TRS. That's why it's an oil price are very high in helping sugar as well. So that's the reason that we carried our stocks for the fourth quarter. In the sugar property, we're going to be selling [indiscernible] sugar in this fourth quarter. Today, we have the 85% of our sugar, the [indiscernible] production heads at 16 cents per pound. So we still have to price 75,000 tons approximately. In the bottom row we have been carried, we have carried the stocks to the last quarter. And now we are starting to sell ethanol at a very high prices. Actually we are selling ethanol right now. The multiples will sue at the equivalent of the high dose of 22 cents per pound, and then Hydros [indiscernible] per pound. I think it's very attractive. So probably we're going to keep selling something now and something in the first quarter of next year that will resist the price you will remain very attractive.
Lucas Ferreira: Perfect. Thank you very much all.
Operator: And ladies and gentlemen, this concludes our question-and-answer session. I'd like to turn the conference back over to Mr. Bosch for closing remarks.
Mariano Bosch: Before finishing the call, I wanted to thank you all for joining the conference. The market outlook of the products that we purchased is looking promising and we are in a new unique position to continue to take advantage of such favorite scenario. We are confident that we will continue delivering strong financial results that we will continue to distribute to our shareholders, now in a more structural way. Lastly, I would like to reiterate my gratitude to all our operating teams that are doing an outstanding job and our shareholders for their continued support.
Operator: Thank you ladies and gentlemen. This concludes today’s conference call. We thank you all for it. myself and so we thank you all for it.